Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the NN Incorporated Third Quarter 2015 Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened to questions. [Operator Instructions] This conference is being recorded today, November 05, 2015. I would now like to turn the conference over to Mr. Robbie Atkinson. Please go ahead, Mr. Atkinson.
Robbie Atkinson: Thank you, operator. Good morning, everyone, and thanks for joining us. I am Robbie Atkinson, Corporate Treasurer and Investor Relations Manager. On behalf of our team, I would like to welcome you to NN third quarter 2015 earnings conference call. Our presenters this morning are President and Chief Executive Officer, Richard Holder, and Senior Vice President and Chief Financial Officer, James Dorton. Also here is Tom Burwell, Vice President and Chief Accounting Officer. If anyone needs a copy of the press release or the supplemental presentation and our reconciliation deck those can be access on our website or by calling the financial relations Board at 212-827-3746 and they will be happy to send you a copy. Before we begin, I would ask that you take note of the cautionary language regarding forward-looking statements contained in today's press release, supplemental presentation and in the risk factor section of the Company's 10-K for the year ended December 31, 2014. This same language applies to the comments made on today's conference call, including the Q&A session, as well as the live webcast. Our presentation today will contain forward-looking statements regarding sales, margins, foreign exchange rates, cash flow, tax rate, acquisition synergies, future operating results, performance of our worldwide markets and other topics. These statements should be used with caution and are subject to various risks and uncertainties, many of which are outside of the Company's control. The presentation also includes certain non-GAAP measures as defined by SEC rules. A reconciliation of such non-GAAP measures is contained in the tables in the final section of the press release and in the reconciliation presentation. First, we will give an update and overview of the quarter. Then afterwards, we will open up the line for questions. With that said, Rich, I will turn the call over to you.
Richard Holder: Thanks, Robbie. Good morning, everyone. The third quarter was yet another exciting quarter in the Company's history. In July, we successfully completed $182 million equity raise in preparation for future acquisition and subsequently announcement completed to transformative acquisition of Precision engineering products. Among the many positive attributes of PEP, one of the most exciting is the end market diversification it creates and the wonderful alignment with our strategic plan. The strategic fit of PEP into our portfolio is as precise as we could have hoped. PEP diversifies our end markets, it expands our margin profile and provides product offerings into strategic important late and mid-cycle end markets, including electrical and medical. Those of you who are familiar with our strategic plan understand how important that was to us. The acquisition gives us a clear path to achieving our strategic targets, including $1 billion in revenue and 14% operating margins by 2018. Given all the moving parts, and as we think about the reminder of the year and looking in the 2016, we have decided to take a slightly different approach to this call. I will walk you through our supplemental deck in some detail and then we will open up the line for questions and any one in the room can comment. As previously committed and we had this discussion about this time last year, beginning with this call, we will initiate a more comprehensive set of financial guidance, designed to help our shareholders have the appropriate information to accurately evaluate our performance. This will includes sales, adjusted EBITDA, adjusted operating margins and adjusted earnings per share. With the completion on the PEP acquisition, we will also begin excluding non-cash amortization charges from our adjusted earnings per share. We believe removing these charges provides the shareholder with the best evaluation of the Company's performance. With that, let us turn to the deck and we will start walking through the deck. Those of you who do not have the deck, you can find it on our homepage at www.nninc.com in the Investor Relations section. As I move through the deck, let us just go right over to Page 4. The highlights of the third quarter, sales were $154.8 million with acquisitions contributing $41.6 million during the quarter. We had substantive headwinds in Asia, which negatively impacted our overall Chinese and European businesses in September. I will take a little bit more about that when I talk about the MBC section, because the majority of the impact was felt in our MBC group. Our Cathay [ph] related business, which is primarily in the Autocam group outperform as expected as adoption rates continued to climb. Our adjusted earnings per share was $0.31, and this was inclusive of the additional $7.6 million shares raised in preparation for the PEP acquisition. Our adjusted EBITDA was $25.5 million, up 46% compared to Q3 of 2014. Adjusted operating margin improved 140 basis points year-over-year. While technically not in the quarter, I think it is not worthy to mention that we completed the acquisition of PEP, which allows us to virtually complete our end market diversification portion of our strategic plan. From a foreign currency perspective in the quarter, net sales we are impacted negatively to the tune of $7.8 million compared to Q3 of 2014, which reduced EPS $0.02 from the translation effect. Moving onto Page 5, in the third quarter adjusted earnings per share again $0.31 compared to $0.34 in Q3 2014. Again, that is inclusive of an additional 7.6 million shares. Had we not issue those shares, obviously, we would be as the note said we would be somewhere around $0.40. Net sales 23% growth year-over-year, we have got from $125.6 million to $154.8 million. In spite of the headwinds, we continue to see growth on the top-line of the organization. As we move to Page 6, as the NN operating system continued to take hold, our gross margins were up 230 basis points over Q3 of 2014 and that carries through to an adjusted operating margin reflected in a 140-basis point improvement versus Q3 2014. Moving onto Page 7, third quarter adjusted EBITDA, up 46% from 17.5 million to 25.5 million in Q3 2015. While we continue to execute prudent expenses management driven by the NN operating system and ensuring that we flex our business appropriately for the top-line headwinds. We still continue to invest in our business, primarily in the front-end around sales and marketing and the administrative function, so with that SG&A is still up about 800K. We believe that with the addition of PEP, there are more front-end in sales resources and we have that built into the plan, so we continue to invest for growth and when we talk about 2016 I think you will understand why. As we move to Page 8, we start to talk about the groups. Beginning with the Autocam group, just as a remind when you look at this particular slide, the Autocam group was created with the combination of the Autocam acquisition, the legacy business wallowing and the VS Industries acquisition. As you look at the chart, keep in mind that Q3 2014 would have had about one month of Autocam versus 2015 having the full quarter. With that said, net sales were up $36.6 million, adjusted operating margins has gone from 12.3 to 13.8. Many of you are aware we have a JVs in China that pays the dividend back into the organization. We do not see the sales. When you included the JV contribution we are in 2015 it is about $630,000 additional adjusted operating margins. When you look at the MBC and this is really where you begin to see the impact of the Asian slowdown. Let me be clear how this manifest itself for those of you who do not know the business. We initially planned China, I think the pundit said China was going to be somewhere around 7%. We planned China at 5%. Second half of the year, we saw that starting to fall. Essentially, we saw it go from 5 to 3 to essentially where we are now it is probably flat. The manifestation of that for us is in the bearing group, largely because we have the falloff of the top-line in China, because we compete in China for the Chinese market, but also we have some falloff manifested in Europe, because the premium brand imported into China is coming out of euro. The fundamental problem is in the Chinese market, but the manifestation of the problem is in both markets. With that said, MBC was down $9.1 million in the quarter, $6.7 million of that is the FX effect, $1.2 million of that is actual volume and the balance really is kind of price and mix. In the face of headwinds however, the NN operating system took hold. The discipline that we had around flexing the organization show that is off to be solid and we were able to hold operating margins at $0.11 in spite of the headwinds of the top-line. Moving onto Page 10, we continue to transform our Plastic and Rubber business. Net sales $1.6 million, adjusted margin up 3.6 points. As those of you who are family with this business, we have already said that we wanted to build the $100 million plastic business and to be able to appropriately compete and make this a substantive a part of the organization. We have done that with the acquisition of PEP, so going forward the Plastic and Rubber business will be reported or I guess not reported it will combine inside of the PEP operating segment so we will have the Autocam group and we will have the PEP group as we talk about the businesses. Moving onto Page 11, third quarter summary, you have heard it. We continue improving in our operating performances driven by the NN operating system. The NN operating system has done its job this quarter, offsetting to continued hits from China and Brazil. Brazil continues to deteriorate. We completed to follow on equity raise in preparation for the acquisition. Our adjusted operating margins continue to expand as this call for within the strategic plan, on a year-over-year basis as well as the sequential quarterly basis. Our Cathay [ph] related business which is primarily in our Autocam group continued to outperform as adoption rates climb. The headwinds in Asia and Brazil created a challenging top-line environment and candidly with the when we talk about the fourth about fourth quarter you see we are not planning on seeing awful lot of recovering in those markets. Negative currency translation continues to skew year-to-year comparisons. We announced that we opened a new MBC facility in Mexico. It is part of a combination facility with the Autocam group and it shares the same management. This facility is for incremental Mexico business. Many of you are aware that there is a program in Mexico to bring the number of vehicle down nine to one vehicle per seven people. That comes out somewhere around 1.5 or so vehicles produced per year. There is the requirement that the content in that vehicle be Mexican content. With the opening of this factory, we are the only one of our competitors with assets on the ground in Mexico and can help the primarily the automotive meet that commitment, so we will be making balls around CVJs and so on. In our Mexican facility, we actually started cutting our first product this month. Autocam, synergies, we remain ahead of schedule, which includes the announcement today of the closer of our Wheeling facilities. We had in the synergy plan the closer of the a facility. We have made the decision of which facility and we are executing on that as we speak. It is just part of the Autocam acquisition plan. Nothing out of the ordinary. As we move to Page 12, I think it is worthwhile just to spend a minute. I think there has been a lot of confusion in the marketplace on our financing structure. I guess largely because it changed so remarkably from who we were a year ago, so we thought in preparation for the guidance it would be worthwhile creating a level set and making sure everyone understands where we are relative to our financing structure. When you think about PEPs, the last 12 months sale is $240 million. That is the baseline. LTM EBITDA $69 million, EBITDA margins 29%, 2016 adjusted EPS $0.40 to $0.50. That is the baseline. When you think about that EPS in another way right our cash EPS is $0.40 to $0.50. When we look at our financing, we have $525 million term loan, we have a $300 million senior note for a total of $825 million. Our rate on the term loans is 5.75 and our rate on the senior note to 10.25. Everyone's aware that as we were marketing this deal, we started to encounter irrational markets on the bond side, on the high yield side. When we saw that, we immediately cross corrected and begin to look towards minimizing the timeframe that we would be locked into the debt. When you look at the maturity of our debt, it is 2022 in the term loan and 2020 on the senior notes, but when you look at our ability to re-price the debt, it is April of 2016 on the term loan and it is October of 2017 on the senior notes. Essentially, 64% of our debt we have the opportunity to re-price within six months. If we encounter a rational market, we have everything in places to execute on the re-pricing of the debt and that is irrespective of whether or not interest rates climb or not this is about rational behavior in the market, so should that present itself, we will execute immediately and take advantages of re-pricing our debt. Well, let us go on to Page 14, fourth quarter. Net sales $180 million to $190 million, we continue to see and expect headwinds in Asia, Brazil we just do not see anything in the environment coming back. I think, when we look at the leading indicators it says we should have stability quarter-over-quarter in Asia, but nothing really bouncing back, so that is kind of our assumption. Operating margins 8.3 to 9.0, really driven by lower Q4 seasonal volume, less work days, you know, it is a normal issue for us. From an adjusted EBITDA perspective, $30 million to $35 million, which includes partial quarter for PEP, EPS $0.24 to $0.28 and this is primarily driven by higher than anticipated interest charges as well as the seasonally low sales. This is fairly the biggest and single area where the interest change manifest itself. Again, we have the option to mitigate that a bit. I think the tax rate will be somewhere between 23% and 25% When we go to Page 15, and I cannot help myself, I have the key pointing this out. We are, when you look at this 2016 guidance, a much different business than we were a year ago or two years ago. Okay? It is no longer these direct colorations with SKF and some of our other customers. We have achieved the diversification that we have gone after. When you look at this, we have a fair share of mid, late and early cycle businesses, so the business will and should behave in a much more predictable manner, okay? As you look at the forecast, we have laid out '15 forecast besides the '16 to give you a sense where the business was and where we are going at. Actually I thought for a minute that it may have been helpful to put '14 in there, because the market change and improvement in the business I do not think is being appropriately recognized. As you look at the sales, '16 875 to 905, all-in sale growth is about 30% when you look at attrition and things of that nature, we will talk a little bit more about that. Organic growth is between 4% and 5%. That is a little lower than we would have liked in '16, but candidly taking a more diligent approach and a more conservative approach to the top-line. We think 4% to 5% is an appropriate number. Operating margins 14% operating margin at the mid-point when you count for the amortization of intangibles. Without that it is 11% to 12% in '16, so we continue to expand margins. EBITDA $162.5 million to $175 million, EPS $1.60 to a $1.80, CapEx $40 million to $50 million, the tax rate somewhere between 22% and 26%, and our cash flow is $50 million to $ 60 million. When you look at that cash flow, understand our priorities around cash flow. It is deleverage, it is debt paid out. We do not have any more substantive acquisitions on our radar screen for the next couple of years. Any acquisitions that we do will be product extensions or gap fillers, so there will be something relatively small. The name of the game in '16 is to continue to turn the organization into a well oiled machine, so we can consistently perform somewhere around 14% operating profit and have our growth ramp back from 5 to 8, so that is really the way to think about overall the organization. From an economic perspective, because I know if [ph] questions on this I will tell you, we are thinking all in globally economic growth is somewhere around 2 to 2.5. That is our assumption here. We do not have an aggressive past year we think Europe is a little stronger, continuing to get a little stronger, we think North America holds up, we do not think Brazil comes back and we are planning Asia as relatively flat. This is not a forecast that has, that is a laid in with optimistic end markets. Additionally, we have and you will see is latest slide, quite a bit of attrition and price and I will talk to you about that. As we move to Page 16, we wanted everyone to understand where the growth and the puts and takes were coming from. We get a lot of questions around that, so we thought this waterfall would help. When you look at the based in 2015, that would have two months of PEP in which, you know, we like so much of this quarter. You add 10 months of PEP on top of that. You have MBC growth, which is largely around outsourcing programs that are out there that will be executed during the year, so that is about $22 million-ish. You have growth in APC, which is somewhere around $40 million. We have growth in PEP somewhere around $25 million, $26 million and then what you have is end of life products, so to put this in perspective, as the adoption rate of GDI technology in Cathay [ph] technology clients multi-port fuel injection products go away, so we have natural attrition in the business, so total attrition across the business should be somewhere around $40 million. We tell you all time we expect to give away 1 to 1.5 points in price and that is about to $40 million number. On the other side of the margin side, obviously, we take out between 3% and 5% of costs, so we still end up, up a couple of points, but in the pure revenue we will see price degradations of about $40 million. Then we have about the same amount for FX headwinds, if you will. Again, the FX headwinds are only translational, so please do not calculate that, do not drop that one-for-one to the bottom-line. It is only translation. With all that said top-line number 875 to 905. Moving onto Page 16, when you look at adjusted EPS, you see the base in '16, you see the amortization of intangible, which is about $24 million, you see the amortization of the financing costs somewhere around $5 million or adjusted EPS of 160 to 180, so we feel pretty good about that number. As we move to Page 18, 2016 summary, sales growth all-in is 30%. When you take the attrition and price and all the puts and takes of that, we end up somewhere around our 4% to 5% net growth. We think that is at least credible given the size of the organization today. When you look at our pure organic and adjacent category, we are actually doing better than 8%, we are up around 11%, but again we have the headwinds of the attrition and in large part some slowing of some of the outsourcing projects, so again we get back to a net growth of about 4% to 5%. Adjusted earnings per share up 21% at the mid of point of the guidance, again I cannot point this out enough, be aware that 64% of our debt can be re-priced in short - six months. As we see a rational market, we will certainly take advantage of that and move on that. Operating margin expansion somewhere between two and three points, free cash flow triples, and allows us to de-lever faster. We will be laser-focused on de-levering and turning this organization into a well oiled machine in 2016. I am not going to go through non-GAAP, GAAP reconciliation. I am sure you all would enjoy doing that on your own. With that, I will open the line up for questions.
Operator: [Operator Instructions] Our first question is from Daniel Moore. Your line is open.
Daniel Moore: Good morning.
Richard Holder: Good morning, Dan.
Daniel Moore: Rich, I want to focus a little on the attrition, $40 million certainly a little bit higher than we had expected. Is that a level that we should think about as sort of normal on a go-forward basis beyond '16 or was there an unusual number of platforms that are coming sort of out of the business, I believe, legacy businesses?
Richard Holder: I think it is probably a little higher than normal. When you think about the Autocam business, just shortly before we bought the business that was enormous investment in new platforms and those platforms are now beginning to displace in a larger way the older multi-port fuel injection and the older steering system. I think the way to think about it, it is lumpy. It is probably $40 million this year. It is probably much less than that the next two years and then the year after that it is probably again much higher. You can almost correlate it back to your product launches, right, so it is kind of three years cycle, you get a big number like this.
Daniel Moore: Okay. Then you gave a lot of detail, but maybe just drill down a little further on sort of the organic growth drivers for Q3 and your guidance for Q4. How much of the declines in organic growth would you attribute to inventory management and the supply chain versus just sort of lower end market demand if you can delineate it all?
Richard Holder: Yes. I think it is about half and half candidly. When you look at Q3, what you saw was a little bit of an overreaction, so when you looked at the European supplier swing, but the European customers rather, they went into the shutdown assuming they were going to do the normal longer shutdown. When the export markets started going bump, everyone started extending their shutdown and then pushing the orders for that extension into the fourth quarter. What ended up happening is because Asia deteriorated so much, the push into the fourth quarter was swallowed up our inventory, right, and so it ended up kind of - if you think about the third quarter, fourth quarter it is about the 50-50 deterioration. For us on an organic perspective, especially the MBC business, in the fourth quarter, we are going to have a quarter that kind of looks a lot like last year, so for the year we still have the growth but of the quarter we are essentially flat from a growth perspective within the MBC business.
Daniel Moore: Okay. Then maybe APC as well, organic revenue growth declined 4% or so. I guess what organic growth expectations in APC are embedded in your Q4 guide and what gives you confidence that we will return to the organic growth in '16?
Richard Holder: Yes. The movement in APC is all around one major customer. There was an engineering change that we actually assisted them with. The changeover has taken in place in the fourth quarter, so we will back to normal levels in Q1 through the next year. It is a move from; let us call it an old style motor products to a high efficiency motor products, so the changeover was taking place this quarter.
Daniel Moore: Okay. Lastly, the balance sheet you mentioned that financing opportunities. What would you consider either the biggest one mostly near-term is the term loan. What would you consider more rational terms for the term loan assuming at the five and three quarters that is out there and it is concurrently irrational?
Richard Holder: I will let Robbie talk to that.
Robbie Atkinson: Hi, Dan. I think when we think about the debt market, what we mean by that really is, we do not need the debt markets to improve. We just need to be normal and when you look at when we executed both of our transaction in the debt markets, we were looking at some historically unusual behavior more than the high yields and that impacted the pricing as well in our Term Loan B. As we move down the road, we would expect a normal or some normalcy to return. Again we do not need improvement even in the raising interest rates environment, with that normalcy; we would expect we are able to remove cost for both facilities.
Daniel Moore: Okay. Thank you.
Operator: Our next question is from Justin Long. Your line is open.
Justin Long: Thanks and good morning.
Richard Holder: Good morning.
Justin Long: Since this is the first time that you have given this level of detail and in terms of your guidance. I wanted to ask how you built out this forecast. Are your assumptions for 2016 based more on growth projection for the industries you serve did you get down to customers-specific projections and I guess I am just trying to gauge your overall comfort and visibility in the guidance for next year?
Richard Holder: Yes. This is a bottom-up bill and it is done by customer. In some cases depending on the business by customer by, part number that we build it that way. Then sort of on the side of it, if you will, we look at how rational that looks given what we think the economics will be. Then we understand our growth programs in detail we know at least the quarter that they are going to hit. We understand our launch costs. We understand our project cost, so this as bottoms up and is granular of forecast I think as one can get.
Justin Long: Okay. That is really helpful. You have recently talked about a couple of outsourcing opportunities on the horizon. Rich, you mentioned that maybe some of that is float, but as we look into next year and then guidance for 2016, what is the revenue contribution that you are assuming from outsourcing projects?
Richard Holder: That would be probably somewhere around I am going to say $30million-ish when we think about the entire contribution. To address the earlier point, as those markets slow, it is sort of a normal reaction if you will for the outsourcing to slow, because now everyone is trying to kind of reclaim the cost within the factory and overhead charges and so on. We have that flowing built in 2016, but we think the contribution somewhere around $30 million, $35 million.
Justin Long: Okay. Great. Last question I had, what is the synergy assumption that you are assuming from PEP in 2016 and the guidance you gave?
Richard Holder: $6.5 million.
Justin Long: $6.5 million. Great. I will leave with that. Thanks so much for the time.
Richard Holder: Okay.
Operator: Our next question is from Steve Barger. Your line is open.
Steve Barger: Hi. Good morning, guys.
Richard Holder: Good morning, Steve.
Robbie Atkinson: Hi, Steve.
Steve Barger: First question on CapEx, it is dropping to 5% of revenue from about 6.3% at the mid-point in 2015. Can you talk to any changes you are making on the MBC or the APC side, specifically are the CapEx levels changing there or do you feel like you needed the foregoing investment to help drive free cash or de-lever or is this all including a robust spending plan?
Richard Holder: This is actually it is all including in the robust spending plan. Again, there is a couple of things there, we are not seeing the ability to expand or grow at an 8% level. We are talking about the 4% to 5% level, so that takes away a little bit of CapEx. Then when you think about the organization overall, the CapEx requirements for PEP is a lot less to the CapEx requirement for either APC or MBC. We think this is a great level. It also provides quite a bit of CapEx for growth inside the PEP.
Steve Barger: The addition of PEP is actually accretive to free cash flow beyond just the margin expansion that you see from the product side?
Richard Holder: That is correct. Because their capital models of 2% requirement versus 6% requirement let us call in the pre-PEP acquisition business.
Steve Barger: Got it. Okay. Are you able to quantify how much of the adjusted operating margin improvement in the quarter was related to NN operating system? Then similar question for 2016, how much of the operating margins expansion you are planning on is really in your control?
Richard Holder: Well, I think from our perspective, we would tell you that the majority of it in our control. You cannot control the maximum of top-line, but running the business better, driving the more efficient process is taking the cost out. We think the majority of the expansion is a result of continuing to drive the NN operating system and processes around flex productivity. It is a really good process that we are using and it is something that we look across the organization every Friday. It 3 to 7 - if you want the number.
Steve Barger: Yes. Okay. Perfect. Last question, I know it is early, but can you talk about customer conversation you had in the medical or electrical and just about how the go-to-market strategy you are putting together is evolving? Where are you in the process?
Richard Holder: Yes. Well, the go-to-market strategy we are in the infancy of putting that together. However, we have had multiple customers reach out to us, so we have a gap, if you will, a gap process in place that we are using our new Chief Commercial Officer to sort of lead of the charge into these customers, because many of them want to have conversation on the medical front and the electrical front now and we start to still putting some of our literature and so on together, but we can do it manually, right, we just do not have an elegant way to do it. We have had our largest medical customer reach out to us. I am personally taking a trip up there in about a week-and-a-half. We have had an electrical customer that we actually do not do a lot of business with, but they immediately recognized the upside of having a supplier that can provide offing switching, which we are the only one that can do that. We have the entire portfolio offing [ph] switching, so they can eliminate about six other suppliers if we can make this work and we have actually already had two meeting with them and we are working our way through the process. Again it is not elegant, but we will get it done.
Steve Barger: Very good. Thanks.
Operator: Our next question is from David Jarinko. Your line is open.
David Jarinko: Hey, guys. Just looking at your 2016 adjusted EBITDA guidance, do you have a green 2016 sort of pro forma number that you would have compared that to adjusting for all the acquisition as such?
James Dorton: Hi. This is James Dorton. The number for this year is in $100 million to $110 million range compared to you get point at the range on 160 170.
David Jarinko: Then you add just sort of to 10 month of PEP to that based on the LTM number?
James Dorton: It will be in '16. Yes.
David Jarinko: Yes. Sort of…
James Dorton: Two months in the fourth quarter and you add 10 months of PEP on top of that. That is the buildup. I think you get by the - that is in the back on from....
David Jarinko: Okay. That is good. Thanks.
James Dorton: Yes. You see Page 17, you will also see on Page 15 -
Richard Holder: Well, Page 15 will give you a fairly detailed breakout as well. You see '15 adjusted EBITDA, 104 to 109.
David Jarinko: Great.
James Dorton: '16 right and that would so two months of PEP, inside of the '15 and 10 months incrementally inside of '16.
David Jarinko: Okay. It looks like a low 160 number then. Perfect 10. Okay. I guess. Thanks.
James Dorton: Okay.
Operator: [Operator Instructions] Our next question is from Stanley Elliott from Stifel. Your line is open.
Stanley Elliott: Hey, guys. Good morning. Thanks so much for that extra information in the forecast, very, very helpful. You talked about how we could built up the forecast, because you also talked about the visibility into the business and how we should think about cadence into next year with 2Q being seasonally stronger, may be 4Q a little bit softer. Are we thinking that the organic growth that we are looking at for the MBC and APC is that we are ramping in the back half of the year or is it kind of - any color on how we should think about that would be great?
Richard Holder: Yes. I think generally we see seasonality in our business, so of still being there. We have the normal 30% Europe business, so we get to shutdown in Europe. It is tough to kind of take out of the seasonality profile, but we do think the addition of these business in our organic growth starts to kick in more in late second, third quarter, so the seasonality I think in the middle the year would not be quite as pronounced as it has been in the legacy, business and we think the fourth quarter won't be quite as pronounced, but seasonally low volumes next year as we are used, so said in other way I think we are still seasonal as we once were since I think the peaks and value there are a lot more muted.
Stanley Elliott: Yes. Got it. I agree with that. Robbie, you mentioned kind of being able our price 64% of the debt. What sort of interest rates saving best case scenario or talk about the normal sort of environment that you would expect to take up on that?
Robbie Atkinson: Well, Stanley, I have got a nice crystal ball out here and I think. No.
Richard Holder: We are waiting for the number too.
Robbie Atkinson: Then I think that is a hard number to peg at the best case scenario. I mean obviously we would be optimistic we hit the best performance out of market we can get. Certainly once we hit six months in one day, we can be patient if we see an improving market we do not have to do it on the six months anniversary; again it is open ended winter for there. I think we will be looking to get as close to the market as we saw when we started the transaction as we could, so you kind of look at what we said our expected cost of capital was on the PEP announcement call, we have beat [ph] or move that portion of the debt back into that range.
Stanley Elliott: Great. I appreciate it. Best of luck.
Robbie Atkinson: Thank you.
Operator: Next, we have a follow-up question from Daniel Moore. Your line is open.
Daniel Moore: Thank you again. I am just wondering how much end of life attrition did you experience in Q3 and if it is embedded in Q4 guide?
Richard Holder: Very little, I would have to get back to you with that. That exact number. I do not have that in front of me.
Daniel Moore: But that Q4 is not up platform changeover. That is more just the…
Richard Holder: No. Other than the shaft that I talked about earlier that is creating the slight dip for the Autocam group, because of the engineering changeover. That is the only real attrition that we see and that is accounted for in the fourth quarter mostly attrition will take place over time in '16.
Daniel Moore: Okay. Lastly, the 2018 you started the call by saying the goals are still intact. If we start fit let say 12% operating margin, is maybe just walk us through how we get to the 14% goal. Is it purely incremental, are they are cost savings, is there other acquisitions that we need to get there? Just kind of help us recalibrate those expectations?
Richard Holder: I think it is a little bit all of the above, but fundamentally it really is getting the business fully reoriented into the competitive market segment. Candidly, we have some footprint rationalization both from the perspective of shutting down a couple of facilities in next year as well as some product movement that needs to be in the right place. We have our normal activity in removing cost out, which we have accounted for in our CapEx plan, so really it is more dependent on the operation. I keep using the term turning ourselves into a well oiled machine. We have some shared services activities that we have to do. I do not think acquisition is a substantive part of it. Again, acquisitions will be around selling out of portfolio and that will really be for a competitive set, not for the margin play, if you will.
Daniel Moore: Very helpful. Thank you.
Operator: We have no additional questions at this time.
Richard Holder: Okay. Great. Well, thank you all for joining us this morning. I am hopeful that we were clear in kind of who we are today, where we are going and what '16 looks like. We will continue with this level of granularity and to ensure the shareholders understand the performance of the organization how to evaluate us and thanks for your time. With that, we will end the call.
Operator: This does conclude today's program. You may now disconnect at anytime.